Simon Litherland: Okay, good morning, everybody, and welcome to our Interim Results. Before we kick into the presentation, if I can just introduce you to Chris Hancock, who is our Strategy Director for those of you who don't know him. Chris will be leading the financial side of the presentation today. So as we you would have seen our results that our results released this morning, I'm really pleased to say that we've delivered another strong performance, and we continue to make progress delivering our long-term strategy. We posted organic revenue margin and earnings growth, as well as brand contribution growth in each of our markets. In GB we've delivered revenue growth in both carbonate and stills. And all three of our major stills brands are in revenue growth at the half year. Our business capability program is on track to complete at the end of the year. And this transformational program is already delivering both costs and commercial benefits and provides us with a modern supply chain for the longer term. ESP and our non financial performance has always been core to our strategy and this year we have continued to make progress against the three pillars of our Healthier Everyday program. We also continue to invest in our brands through marketing campaigns and brand development. And we are successfully building our categories through innovation. I'm really proud of the Britvic team and how we continue to grow our business in the right way, both in the short-term and for the long-term. GB soft drinks and in particular the carbs category has proved to be extremely resilient in the face of the introduction of the UK soft drinks levy in April last year. The levy has accelerated the existing consumer trend towards low and no sugar variance resulting in double digit volume declines in full sugar and strong growth in low or no sugar products. But we expect this trend to moderate as we lap the introduction of the levy. Britvic was leading growth in low or no sugar brands well before the levy, with 10 years of growth to build on and this year is no exception with every one of our core low or no sugar variants in double-digit revenue growth. Pepsi MAX has added more incremental value than any other cola variant and gain value share or 7UP FREE has done the same in the lemon and lime category. R Whites growth is led by the on-trade and Tango also performed well, even ahead of our planned relaunch. Turning to our GB Stills performance. Robinson's continued to drive strong revenue growth through premiumization. This strategy is working, we're growing market share and growing the category and both creations and cordials are driving positive price mix. We've also capitalized on proved brand strength to take price across the core range for the first time in several years. Encouragingly brand penetration is 600 basis points higher than this time last year, as we attract new consumers into the Robinson's franchise. Further existing consumers are buying more and trading up into creations and cordials. In the dilutes category, Robinson’s squash revenue has increased by 9% this half and we've now delivered four consecutive quarters of growth. In addition, we continue to broaden the shoulders of the Robinson’s brand through new formats, with a ready to drink refresh, growing revenue 37% in this half. I'm pleased to report that we're seeing brand contribution growth in all our other geographies. In Brazil, we've delivered a particularly strong performance in a still volatile market. We're seeing signs of market conditions improving, and we're cautiously optimistic on that score. As I think, you know, the Bela Ischia acquisition has been fully integrated and has delivered synergies ahead of guidance, and has enabled us to expand our market coverage. Across the portfolio, we're being highly proactive on price and mix management. And we're seeing growth in both core and new brands as we execute strongly in store. In Ireland, we've been highly disciplined in our revenue management over several years and have continued in 2019 to move our promotional pricing forward. The introduction of the sugar tax initially resulted in strong growth in low or no sugar brands and declines in regular variants. This has now begun to stabilize. Revenue from our soft drinks portfolio has increased with strong growth in Pepsi Max, MiWadi and 7 Up Free. We have however faced challenges in our counterpoint wholesale business, where we've seen a softening in alcohol sales for the on trade. In France, we're proactively managing mix, price and cost of goods, which is having a positive effect on brand contribution Teisseire syrups are back in revenue growth, but at the same time, we are taking steps to protect profitability and margin across our French business overall. The French retail climate has remained challenging. However we have successfully navigated the latest round of customer negotiations and look forward to an exciting program of marketing activity this summer. We continue to manage the decline in private label sales as we focus on a higher margin brand portfolio. And finally, our international business is performing well. We've seen a very strong performance from Teisseire Zero taking 140 basis points of value share in the Netherlands as we grew our retail value by over 60%.Our travel and export business grew as we secured new listings and increased export sales. Then the U.S.A. featured revenue increased benefiting from the extended presence in Walmart that was secured this time last year. As you will know we've been working hard to transform our supply chain through our business capability program. And I'm delighted to report that we'll complete the project on time at the end of the year. Since starting this journey in 2016, we have installed six new PET lines, three new can lines, one new fully aseptic line, and we've also built new on side warehousing in Leeds and London. In Rugby we've completed the fully automated warehouse and commissioned our new combined heat and power plant. And by the end of 2019 we will have completed the commissioning of the last three lines there and close the Nordic side. We are on track to deliver the planned cost benefits and we're also benefiting commercially from the pack and price flexibility these new lines offer by unlocking opportunities across the portfolio with different channels and customers. In addition our BCP program is delivering significant environmental benefits. We have reduced our manufacturing carbon emissions by 14% this year from our more efficient lines and we will reduce road miles by producing closer to the point of demand and making use of our new onsite warehousing. Staying with sustainability, we are prioritizing the importance of building credibility and trust with all our key stakeholders. In 2017, we launched our Healthier Everyday, sustainable business program, which is based upon three pillars, healthier people, communities and planet. We want to make it easier for consumers to make healthier choices. In GB we’ve reduced average calories per serve by 17% so far this year with absolutely no compromise on taste. This is a fantastic achievement, meaning that today, around 90% of our total GB portfolio is now exempt from the soft drinks levy. We continue to develop our employee experience with renewed focus on diversity, inclusion, health and well being, we are now on the top 20 of the great place to work lead tables in both GB and Island and we’re doing well elsewhere. We are also making great strides and our new partnership with Diabetes UK, supporting programs to help children with Type 1 diabetes and their families. In the first half Britvic employees have raised over 100,000 pounds for Diabetes UK. In terms of a healthier planet, in addition to BCP program, we continue to take steps to reduce the environmental impact of our packaging. We were one of the first signatories to the UK Plastics Pact this time last year. And since then, we removed more than 600 tons of plastic packaging through lightweighting both bottles and labels. All our plastic bottles are recyclable, and we're encouraging consumers to recycle through on pack messaging and TV ad taglines, going forward we're looking forward to -- we're looking to significantly increase the use of our recycled PET across our portfolio. And finally, we continue to work in partnership with government and industry on the various public consultations that are entrained. We welcome the opportunity to shape the future approach to producer responsibility that will further reduce plastic pollution in the right way. We are maintaining our focus on innovation, one of our core revenue growth drivers. We are constantly innovating across multi categories and the images on this slide illustrate just some of the innovation and brand development work that is new to market. In terms of extending our core brands building on the success of Pepsi MAX, Cherry and Ginger, we have recently launched a raspberry variant and the initial response has been very positive. We're launching limited edition flavors of creations and cordials for the summer, including the Wimbledon inspired strawberry, cucumber and mint. We're expanding the Teisseire fruit juice brand into flavored water with the launch of hydro in France. Tango our iconic fruit carbonates brand is also about to be relaunched in GB and elsewhere in France we’re adopting a good, better, best strategic principles of premiumization to Teisseire with a healthier, fresher the three 85% juice and buyer ranges. And finally, we continue to nurture the emerging brands of Purdy's Aqua Libra and London Essence with new flavors and pack formats. It is still early days for these emerging brands and they're small in the context of the group. But we are encouraged by the progress that they continue to make. As we head into the key summer trading period we have a strong program of marketing campaigns ready to engage and excite consumers. We are repeating the Pepsi Max Taste Challenge that was so successful last summer. We consistently outscore the competition because we know consumers prefer the taste of Max to any other cola. Fruit Shoot as a brand new campaign Fruit Shoot for the Moon, enabling kids doing their dream thing. And Purdey's will hit the screens with a brand new campaign energy as nature intended, capitalizing on the brand's all natural credentials. And meanwhile, our Cheeky Alpaca merger will reappear to support J2O's summer activity. Of course, summer is not summer without Wimbledon, and this year we activating a broad campaign highlighted here by Robinsons Refresh. In France, we signed a new partnership with the National Forestry Office that will be activated by Tesisseire syrups. While in Ireland we've a range of marketing campaigns, with the MiWadi zero sugar activity highlighted here. Finally, I'm sure you'll be familiar with Tango and how it has a quite a history of disruptive marketing. The food carbs category has been has clearly been benefiting from the industry levy, and at the brand level Tango is already posting double digit growth as you saw earlier. We recently launched the new pack design and range of sugar free flavors. And we have a multichannel advertising campaign ready to roll. Let's take a look at one of the TV spots. [Audio/Video Presentation] Okay, so I'm really pleased with the first half performance. I'm excited about we're going to bring to the market this summer. But taking a step back, you've heard me say many times over the year that soft drinks is a highly robust and resilient category that continues to grow both in value and volume even in a mature markets. Consumer trends continue to change and this creates opportunity for growth. Britvic as well placed to capitalize on these opportunities through our portfolio brands and our strength in bringing them to market. So let me now our hand over to Chris, to take us through the financial side of the presentation.
Chris Hancock: Thank you, Simon. Good morning, everyone. As you will have seen from the RNS this morning we've delivered a strong first half with organic revenue margin and earnings growth underpinned by disciplined approach to revenue management. Organic group revenue increased 1.9%, organic EBIT margin expanded by 30 basis points and adjusted EPS increased by 5.2%. With our improving free cash flow and confidence in the full year, we've declared an interim dividend of £0.083 which is an increase of 5.1%. In previous years, the interim dividend has typically represented around 30% of the full year payout. As you will be aware interims are working capital high for us ahead of the key summer trading period. We've reported adjusted net debt to EBITDA of 2.4 times, an improvement on this time last year. So for the business unit, let me pull out some of the highlights from the first half. GB stills revenue increased 4.9% with Robinsons, Fruit Shoot, and J2O all in growth. The ARP increase reflects the price movement on the cold Robinsons range as well as the success of Robinsons premiumization and J2O growth. Brand contribution increased 5.7% as a result of the favorable brand mix and strong price realization, while also absorbing an increase in A&P spend. In the second half of the year, we will lap the introduction of the new Robinsons ranges and the impact of the carbon dioxide shortage when we switch activity from carbonates to stills last summer. GB carbonates revenue grew 2.2% due to revenue management of promotional mechanics and favorable pack channel mix with ARP increasing 7.2%. Volume declined 4.5% against a strong comparative last year, which included trades stock loading ahead of the introduction of the levy. Brand contribution and margin declined due to a combination of cost of goods inflation and a significant increase in A&P spend as we reversed the delay in spend due to the levy introduction last year. In Ireland, both brand contribution and margin increased, while ARP grew by 4.1%. Volume declined as we focused on value over volume. For example, the Ballygowan, we increased promotional price points for large packs. Ireland also introduced the sugar sweetened drinks tax last year with trade buy in ahead of the original implementation date of April 2018. The main driver of the revenue decline was a fall in alcohol sales through the Counterpoint wholesale division. In France, we delivered an ARP improvements as well as brand contribution and margin growth through proactive management of price and cost of goods. The positive mix was due to growth in higher margin spirits versus a managed decline in private label. Fruit Shoot declined as intense competition in the grocery channel continued. Performance in Brazil was strong as we lapped the weak comparative last year, volume increased 1.5%, led by growth in the ready-to-drink portfolio. ARP increased 6.6%, resulting in revenue growth of 8%. Brand contribution grew while margin declined, reflecting both increased cost of goods inflation and increased A&P spend in areas such as on pack promotions and in store sampling. And finally, international, pleasingly each of the sub-channels generated revenue growth. The travel and export channel benefited from new account wins and increased sales to overseas market. In Benelux, growth was led by Teisseire particularly the no sugar zero range in Holland and in the USA, Fruit Shoot revenue increased due to the expansion in Wal Mart last year, which will now lap in the second half. With A&P spend in line with last year, both brand contribution and margin increased. Overheads are modestly ahead of last year. We have however continued to focus on driving cost efficiency to enable us to support reinvestment behind our growth drivers. This half we have invested more spend in A&P which is largely phasing, while selling costs increased 4.6%, reflecting increased investment in field sales resource to support growth in outlet execution. Half year is always a cash outflow for us as we build stocks for the summer. This year, working capital is being impacted by our Brexit contingency and the unwind of actions in response to last year's carbon dioxide shortage. As you can see from the slide, however, we still reduced the half one outflow and we anticipate further improvement in free cash flow generation at the end of this year and into the future. We're confident in our future cash flow growth for the following reasons. First, continued organic profit growth. Second, we have the balance of the BCP cost benefits guidance to come through next year. Third, lower ongoing capital investment requirements and the reduction in adjusting items as the business capability program complete. And fourth, we expect lower ongoing inventory levels in GB from optimizing the BCP, and eliminating the Brexit contingency. The exact completion date of the business capability program may affect the year end position as we transition production from the Norwich site, and the level of associated contingency stocks run down. Turning now to our full year guidance. The guidance remains the same for input cost inflation, capital spend, pension contributions, the effective tax rate and interest. We've upped the guidance for adjusting items to reflect the inclusion of the GMP pension equalization judgment. We did highlight this at prelims as a potential future item, and there was a wide range of potential impact. We’re now in a position to confirm the impact in the order of 6 million pounds. And as the BCP nears completion, we can confirm that that leverage will fall to between 2 and 2.2 times at the year end. So before we open up for Q&A, let me summarize our first strong first half performance. We delivered growth in revenue, margin and earnings as well as in brand contribution in all geographies. We successfully delivered strong price growth, through disciplined revenue management. Across the group, we're raising our gain in the sustainability space. And we're confident of delivering against full year expectations and into the future. Many thanks for listening. Simon and I will now be happy to take questions from the floor. If you could wait for the microphone and state your name and company, for those listening through the webcast, that would be great. Thank you.
Q - Richard Felton: Good morning, Simon, good morning, Chris. Richard Felton from Morgan Stanley. Two questions for me, please. Firstly, on capital allocation. And as you get towards the end of the business capability program, clearly we’re going to see a significant improvement in free cash generation. I appreciate that net debt to EBITDA is perhaps a little bit on the high side we're talking about returning cash to shareholders at this stage. But can you please remind us of your capital allocation priorities? And at what level of net debt to EBITDA you begin to see your balance sheet as inefficient? Secondly, on Robinsons. It seems like the brand is in a much better place today compared to a few years ago. Can you comment on the sustainability of improvement and are you confident that the brand can continue to grow you really start to lap the introduction of the various innovations, such as creations? Thank you.
Simon Litherland : Okay, thanks Richard. Our capital allocation policies, as previously stated, which is focused around the progressive dividend payment was $0.50 payout. We've said CapEx will obviously drop down into a range of 3.5% to 4.5% of revenue going forward. And then it'll be cash will be used to pay down debt into the range of 1.5 to 2.5 times. We will look continually for add-on acquisitions either into new geographies. France and Brazil are good examples of that or add-on acquisitions into existing market places. But if we get towards the low end of that range and we can't find good use of cash of course we'll look at a way that we might return it to shareholders a bit, a little way away yet. And then on Robinsons that we're really pleased with the performance. As we said in the presentation, we've got four years of four full quarters of consecutive growth. I think importantly, we're gaining penetration, so attracting new consumers into the brand, attracting consumers from other brands and just as importantly, for customers, we're growing the category overall. So I'm really excited about what we're doing with the brand. We have got further innovations in the pipeline. We've got a strong marketing campaign with it with a big idea at its core. So I don't see any reason why the improved performance of the brand is not sustainable. Having said that quarter, three and four will be slightly less strong in terms of growth given the CO2 shortages last year, will you remember we transferred some of our feature and display from carbs to stills? And you'll see us lapping some of that this quarter. But I'm pretty confident we will grow in the second half as well.
Richard Felton: Thank you.
Ian Mitchell: Thanks, it's Ian Mitchell from Barclays here. First question on Purdey's Energy, your competitors have both launched a couple of new variants into the market Purdey's certainly from Scan date appears to be doing very well. How do you see the new launches helping or hindering the category? And how do you see Purdey's within that and going forward. And secondly, going back to Robinsons, how much of that was the price growth was trading up through mix and the benefits you've seen, I know you said that the Robinsons Cold brands took price but how much of the creations is in there?
Simon Litherland: Sure. I'll take the first one and you can talk with the price mix. So look. We've decided not this point to compete in what we refer to as hard energy. I've come up against some very big brands and very strong number one and number two brands in that category. But we do see the consumer trend towards more natural and healthier offerings, creating a space for more natural energy, which is where Purdey's plays. It's still relatively small, but taking some share. And it's grown in a high double digits in the first half. So we're very pleased with the performance. And we think it's got lots of potential, we've got a new marketing campaign, coming through in the summer. We've gained some great distribution points across both the retail and convenience channels. And we'll continue to invest behind the brand going forward.
Chris Hancock: Let's pick up your questions on Robinsons. Ian, I think as Simon referenced and you reference in your question, we've done a couple of things. So the creations and cordials ranges have been very successful in trading consumers up. So both of those are ahead of the expectations that we had for them, which is fantastic. And that's had a positive effect on margin as well as the overall squash category. And that enhanced brand strength we've had across Robinsons means that price taking that you're referring to is the first time we've been able to do that really for about four or five years. So that's quite a significant step for us to be able to move it forward. And that drives quite a significant mixed benefit within the Robinsons brand. Now inevitably core is much bigger than the creations and cordials range so you get it in terms of you're asking how much is in each you can get a more significant move just because of the sheer size of core. But creations and cordials are becoming increasingly important in the overall mix as we move forward.
Damian Mcneela : Morning. It's Damian Mcneela from Numis. First question is on France and clearly, the margin is benefiting from lower private label sales. Can you give us sort of an update on what proportion of the portfolio is now private label and to what extent the contribution margin is sustainable in the sort of low 30s number please. And then the second one is around depreciation charge and sounds like a lot higher than it was so far last year. Can you just sort of confirm that we're looking for depreciation charge of double what we saw in the first half please?
Simon Litherland : Okay. So, I'll do first and Chris you can get the second. Damian, we're actually quite pleased with our French performance, 9% contribution growth as we say the margin improvement is driven partly by the decline in private low margin private label sales, but also by favorable raw material costs. It has a proportion of the total big business private label is now more like 40%, 60-40 and that includes both syrups private label and juice private label. But we would see ourselves continuing to focus on the branded side of the business going forward, which is as obviously at much higher margin and it's great to see Teiseirre returning to growth in the first half and that is obviously with the core brand in the French portfolio. And Fruit Shoot, which is a better margin obviously than our unlabeled business as well as system and pressure this half, but we've got a strong summer program for that brand as well.
Chris Hancock : On your depreciation question Damian, so you're quite right. So you can see depreciation starting to move forward, which is something that we plan to start off and inevitable consequence of the business capability program, you seeing some of that flowing through half year and now you'll see that continuing to flow through as we go through to the balance of the year.
Patrick Higgins : Patrick Higgins from Goodbody. Just two questions for me please. And firstly on A&P spend, obviously a bit of a pickup in that in H1, how should we anticipate that trend for the full year, bearing in mind obviously the number of marketing campaigns? And then secondly, just on the international business and specifically Fruit Shoot US and obviously seen the benefit of our Walmart expansion there, is any new business wins or negotiations currently ongoing worth disclosing. Thanks.
Simon Litherland : Okay. Thanks. You want to do A&P Chris?
Chris Hancock : Yeah. Patrick, A&P spend if you cast your mind back a year, you might remember with the introduction of the soft drinks levy, we delayed some spend from half one to half two only by few weeks as it happened but it meant it feel over the half year, which was such that we could go on to TV and the like and advertise quite hard after the introduction of the levy. And so what you're seeing in the A&P at the half year is effectively a reversal of that, so we brought that spend back to its natural home which means it comes back in into the first half and that typically affects GB carbonate. And as you move forward, that's what we expect to be the more normal pattern if you like in a typical year. And as we go through the back end of the year, we expect A&P spend to pick up a little bit but effectively. What you're seeing at the moment is more of a phasing effect than a overall trajectory if you like.
Simon Litherland : Yeah. And on the international business and Fruit Shoot there not a great deal of new news in terms of distribution gains at this stage of the year. What we're being focused on is improving the in-store presence where we are distributed from a multi-pack perspective and improving rate of sale and within the outlets and customers that we are distributed our core focus has been in Walmart, where we've seen a satisfactory performance I'd say. And from a single serve perspective, we continue to grow that business and that is as we’ve said before the profitable half of the Fruit Shoot portfolio. But the strong performance in international I think is much wider than Fruit Shoot USA which is a small piece of it. And it's very much driven through the travel and export business as well as a strong performance in Benelux which we’re pleased to see, particularly from the Teisseire brand.
Nicola Mallard: Nicola Mallard, Investec. You mentioned cogs were rising in sorry declining in France but they were rising in the UK, in carbs, can you explain what the difference in those cogs were presumably some of them are similar like packaging?
Chris Hancock: And yeah, so cogs I guess taking the UK first of all Nicola just in terms of what's happening within there. And most of the increases that we're seeing are packaging related. So PET, bit on cans, bit on glass, plus we also see cogs increases, utilities is a big area and fuel and the light that goes through that. Some of them are common with France, some of them aren't. So if you look at something like the Teisseire products in France, that's made in cans, for instance, it's not made in PET. So you get some of the differences that's happening within that. Some of the offsets and things that are going in the other way are things which are big, raw materials for us in France, such as juices and sugar, which have gone in the other direction. So you have got quite a different cogs mix between the two geographies that drives a different shape of their performance.
Ned Hammond: Ned Hammond from Berenberg. Just one from me, on the sort of commercial benefits that you've been thinking about getting from the BCP program, is there anything specific that you would point to that you've gained so far? And what do you’re seeing as the real main opportunities over the next 12 to 18 months?
Simon Litherland: Yeah, I mean, they're quite wide ranging actually, I think, our ability to compete with multi large multi pack cans is something that we couldn't do before we couldn't meet a cost point to meet the price point at which we can compete. That's one example. 250 ml cans, slimline cans, we were unable to produce in house. Large PET, three liter PET is another example which was proving a good growth driver both for our Robinsons stills brand as well as within carbonates. So, it really is quite wide ranging. And I think it's really what broadened our ability to offer different price points, across different brands in the portfolio and across different channels. So it's something that the commercial team are very much enjoying. Okay, I think that's about it. So whoever thanks very much for coming and thanks for your support. Have a good day.